Operator: Good day, and thank you for standing by. Welcome to Auckland Airport Interim Results 2026. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Carrie Hurihanganui, CEO. Please go ahead.
Carrie Hurihanganui: Thank you. [Foreign Language]. Welcome, and good morning to everyone on the line. I am joined today by Chief Financial Officer, Stewart Reynolds, and we are pleased to be able to share the interim financial results from the first half of FY '26 with you. Listen, overall, it's been a promising start to the financial year. We've seen strong momentum across the business as travel demand and seat capacity has continued to build along with increased cargo movements. The focused cost management and solid commercial performance. Customer journey times continued to improve with robust operational performance, all while making significant progress on our aeronautical investment program with key projects delivered in the period and our new integrated domestic jet terminal firmly on track. As we look ahead to the remaining 6 months of the financial year and beyond, we're feeling optimistic, and that's based on the recent trading momentum and continued growth in demand across aeronautical and commercial opportunities as well as a pipeline of additional new air connectivity and the continued substantial progress of our infrastructure program. Now of course, that is notwithstanding the complexity and challenges that naturally come with a program of the scale that it has in a live operating environment. Now plenty to run through today on the half year performance and outlook before we jump into Q&A as normal. So let's jump to Slide 4. We'll kick things off with an overview of the first half results. I'd summarize the half year really about reflecting a growing momentum. First half '26 revenue increased 4% to just under $520 million, reflecting the combination of an increase in aero charges, increased passenger numbers and higher commercial income. Operating EBITDAFI lifted from the prior comparable period by 6% to $371.3 million, and that resulted in a lift to the EBITDAFI margin. Net underlying profit after tax is also up 6% at $157.1 million and total reported profit after tax, which included revaluations down 5% to $177 million. An interim dividend of $0.065 per share will be paid on the 2nd of April with total dividends declared at $110.2 million. Capital expenditure was almost $431 million in the first half with assets commissioned in the period of more than $743 million. If we move to Slide 5 and look at some of the key highlights that underpin the half year results, you can see there that total passenger movements increased 2% to $9.64 million, and that was made up of domestic passengers at 4.37 million, up 2% and international, including transit, also up 2% to $5.27 million. We also saw almost 86,000 tonnes of international cargo movements worth $20.3 billion, and that was up a healthy 37%. The ongoing focus, collaboration and investment is making a tangible difference for our customers. We've been working together with our airport partners and border agencies, and we've seen the introduction of new technology and digital enhancements and an expanded arrivals area, resulting in improved customer satisfaction measures and importantly, shorter customer journey times. In the commercial space, we've continued to see growth across key business lines of car parking, retail, investment property and rental income, up 5% to just under $240 million. Of the $743.5 million of assets commissioned in the period that I mentioned a few minutes ago, $724 million of that was aeronautical projects across terminals, transport and airfield. Moving ahead to Slide 7. Fundamentally, we continue to build for the long haul, and it has certainly been a busy 6 months. And that 6 months has been focused on delivery and progress in creating capacity, increasing resilience and uplifting the customer experience and business performance. Moving to Slide 8. Auckland Airport, we've been incredibly proud to serve as a critical gateway and enabler of economic growth for both Auckland and New Zealand. International travel here at the airport is an essential driver of the economy, generating over $35.1 billion in economic output in trade tourism and employment per annum with Auckland Airport serving more than 90% of long-haul flights into and out of New Zealand. Or another way to look at it is $1.4 million of economic value for every international aircraft that lands into Auckland Airport. Now we've seen inbound tourists through Auckland up 2% in the 12 months to December at 2.4 million, and that makes up 67% of New Zealand's international visitor arrivals. Auckland also has 89% share of New Zealand's international airfreight by volume and 93% by value. In the period, that equated to $8.2 billion worth of goods exported by Auckland, which was up 75% and $12.1 billion imported, which was up 19%. Moving to Slide 9. Listen, we've been really pleased to see more seats and greater choice coming into the market for travelers. And the most significant of that, particularly in the international space, a highlight was the launch of China Eastern's Shanghai-Auckland-Buenos Aires service in the first half, and that was made possible through years of collaboration between China Eastern Auckland Airport and government partners. Now overall, the China market growth is positive with forecast around 50,000 additional seats during FY '26 versus FY '25, and that's primarily been driven by China Eastern, China Southern and Hainan Airlines. It was also positive to see Air New Zealand growing its network from Auckland with seat capacity to Australia up 8.4% and capacity to the Pacific Islands increasing by 7.3%, primarily driven by their incremental A321neos. Now that Tasman growth was also complemented by capacity increases from both Jetstar and Qantas, which lifted seat capacity from Auckland to Australia by 4% and 7.3%, respectively, during the period. It was great to see Qantas Group announce their new samoa and Gold Coast routes that will commence in the second half. And it's worth noting that [ CF's ] launch of Auckland samoa introduces competition to that existing route and the Gold Coast Auckland launch sees the Qantas full-service airline brand now come on to that route. Moving to Slide 10. A huge highlight for us. We were delighted to see the strengthening of Southeast Asia connectivity with Thai Airways announcement of their planned resumption of services in the back half of 2026, and that will restore a long-standing long-haul connection between New Zealand and Thailand. And really, for us, it's an important milestone as we think about the rebuild of long-haul connectivity to and from New Zealand. It adds real value for travelers between both countries while also strengthening our connections into Asia's wider aviation network. Moving to Slide 11. There's been a tremendous amount of work underway between business and government and working together to stimulate tourism recovery. And it's really positive to see outbound tourism by Kiwis fully recovered and inbound tourism seeing a 5 percentage point lift to 90% from the prior comparable period. As New Zealand's Gateway Airport, Auckland Airport actively promotes New Zealand abroad through strategic route development and working with airline partners to launch new international services to strengthen our country's connectivity to key global markets. And this connectivity matters. Each daily wide-body fleet to Auckland delivers annual tourism spend of more than $150 million and $0.5 billion in high-value airfreight. Now Auckland's international seat capacity was up 4% over the peak period, which was that November to March period. And this has been assisted by the gains made over the past year on tourism with business and government, both combining efforts to see things such as tangible progress on visitor visa turnaround times. What's been really interesting is the November introduction of that simplified visa requirement for Chinese travelers who already held an Australian visa, enabling them to come to New Zealand. That's driven a 44% year-on-year increase in Chinese traveling between Australia and Auckland for the months of November and December. And finally, the announcement of the $70 million events in tourism package as well as investments in the wider regions such as the opening of the convention center, excuse me, and the City Rail Link are all key in driving economic activity. Slide 12. If we dive in a little bit deeper, growth in the domestic jet and international capacity is providing greater competition and the resulting impact of that is, therefore, travelers with more choice. Overall, it's been a promising start for international travel at Auckland as both seat capacity and passenger volumes are growing. International seat capacity increased 1.8% during the first half compared to the prior year and reached 89.3% of 2019 levels. Non-transit pax movements reached 93.2% of 2019. In December, what we did see was the international load factors were 5 percentage points up on the FY '19 equivalent and clearly indicating that demand is not the problem as it continues to outpace supply. And it is something that we are very cognizant of. We are seeing the passenger demand trajectory as positive, but we do also see and expect the ongoing global fleet shortages to continue to weigh on the availability of new seat capacity supply and pace of growth in the near term but also have a clear line of sight that we see that washing through. Now if we turn our sights to the domestic market, first half '26 saw the largest boost to domestic jet seat capacity in a decade. So it was up 5%, albeit I acknowledge still not at 2019 levels. But the growth is positive. The additional 181,000 seats in the domestic jet market helped to make flying just a little more affordable on key routes with the average jet airfare costs falling by around 6% during the period. Moving to Slide 13. We are continuing to invest in driving efficiency and improvements across the customer journey. Now this extends to the ongoing close collaboration with airport and government border agency partners as we look to optimize the ecosystem alongside the infrastructure improvements. And that's things such as the expanded arrivals area, the new security screening technology and the new express pathway for eligible arriving travelers. Now delivering infrastructure improvements in a 24/7 airport is highly complex. And despite increased customer and passenger activity, we have continued to deliver tangible operational improvements, making traveler journeys more streamlined than ever. Over the summer peak period, which is that December to January time frame, median international departure processing times were 21% faster at 6.5 minutes compared to the same period last year, while international arrivals were 10% faster at 18 minutes. So from smoother passenger processing to reduce queue dwell times to providing enhanced customer experiences at airside, such as lounges and retail. These improvements are enabling the airport to both manage growing demand and do so efficiently while maintaining a reliable and positive experience for travelers. Moving to Slide 14. We are New Zealand's Gateway Airport, and it is critical that we continue to invest in greater capacity and resilience. The first half marked a significant milestone in the infrastructure plan with over $700 million of assets commissioning in the period. This includes the $465 million Northern Airfield expansion, assets at the eastern end of the international terminal that we refer to internally as the stitch into the new domestic jet terminal, a new direct cargo airside access point, a major upgrade of the stormwater network, the Western truck dock, critical airfield pavement renewals and works associated with the contingent runway. So in short, it was a very busy but productive first half. Moving to Slide 15. The integrated domestic jet terminal remains on track for completion in 2029. We've seen steady progress achieved across both the terminal and airfield works in the first half. And the new terminal structure is now clearly visible to all airport visitors. And in November last year, the project reached a key milestone with the physical connection to the existing international terminal building, which you can clearly see on this slide. Approximately 60,000 square meters of airfield has been temporarily closed and made available to support construction of the domestic jet terminal pier and aircraft stands with piling underway, fuel system installation progressing and airfield pavement works now commencing. The scope and scale of activity at the new domestic jet terminal will only increase further in the year ahead with more workers on site as the footprint availability in both the head house and the pier continues to increase and the structure becomes more enclosed, allowing some of the interior fit-out to get underway. Slide 16. Looking ahead, as travelers to the airport precinct, they are going to see in the international terminal building construction activity becoming even more visible as we transform the check-in area. Travelers will experience some changes with the opening of a new temporary check-in facility and change to passenger access routes heading into quarter 4 of this financial year. This next phase of the build is an essential step in delivering the future long-term capacity, resilience and improved customer experience travelers have been asking for. And while travelers can expect some temporary disruption as it gets underway, we are working very closely with airlines and government agency partners to minimize those impacts as much as we possibly can. Moving to Slide 17. In retail, the partnership we have with our new duty-free partner, French global travel retailer, Lagardere, ensured a smooth transition at the start of the half year and is focused on a competitive proposition that delivers both customer value and future growth. The new offering is already proving popular with travelers as Lagardere starts to significantly upgrade the store experience for customers, offering new brands and more choice. And while travelers will notice construction activity in the duty-free stores, the work is being undertaken in a very carefully staged manner throughout 2026 calendar year to minimize the disruption and travelers will continue to be able to access and buy their favorite brands. Our retail income in the period was $92.3 million with total PSR up 2%. It's actually 5% if you excluded FX, and that's versus the prior comparable period. Income per pax of $9.76 was down 4% with a change of sale mix noted as part of that. Lower concession rates are driving higher sales volume with duty-free basket sizes increasing and sales growth outpacing the pax growth. And in a sluggish retail environment, both on the high street here in New Zealand and in travel retail more broadly, to be able to grow basket size and PSR is a pleasing outcome with the duty-free business outperforming most regional peers. Moving to Slide 18. Investment in our parking product range with the opening of the transport hub and the Park and Ride South is delivering improved customer choice and revenue. Revenue was up 14% to $41.1 million, reflecting the full 6 months operation of the transport hub, an uplift in premium product, an increase in average duration of stay, growth of international passenger numbers and growth in total car park exits by 1%, with international up 3%. However, we did see domestic car park exits reduced by 7% due to weaker corporate demand, the ongoing domestic economic backdrop and the loss of circa 700 spaces due to the expansion of the regional airfield capacity program. This was partially offset, however, by the resilient performance of the Valet and Park and Ride products. Moving to Slide 19. Manawa Bay celebrated its first birthday in the period and is performing well. We've been seeing increased footfall of 6% and increased sales of 18% for the comparable November and December periods. And it's providing a valued shopping amenity for around 75,000 people who engage with the airport every day, including airport workers and the Auckland community. Taking it to Slide 20. Investment property rental growth continues with the existing commercial property portfolio seeing a 9% growth in investment property rental income in the first half and a 2% increase in the rent roll to $195.4 million, which all came from growth in the existing portfolio and further Manawa Bay leases. Now softer market conditions have contributed to a slower-than-expected investment property activity during the period. However, we are continuing to see strong interest from prospective commercial property tenants. Hotels are seeing an average occupancy of 83%, which is up from 78% in the prior period. And the ibis refurbishment program is on plan with the first of the 2 stages now complete in the period, and the second is going to kick off from April. Slide 21, a few key updates in the regulatory space. In December 2025, the High Court declined the appeals lodged by airports in relation to the Airport Services input methodologies, merits review and Auckland Airport has elected not to pursue the matter further. And related to this, the Commerce Commission has advised that in March, it will commence consultation on amendments to the airport cost of capital input methodologies in light of the coding errors that informed the 2023 input methodologies. Auckland Airport will be making submissions as part of this process, and the commission has indicated it is targeting a final decision in June 2026 on those amendments. Last month, the commission began its process to consult on the information disclosure requirements for major airport investment in line with the earlier recommendation by MBIE. The commission is targeting to complete this process by the third quarter of 2026. And finally, following consultation, the final master plan is expected to be published midyear 2026. So with that, I'll now hand over to Stewart to take us through the financial performance in more detail. Stewart?
Stewart Reynolds: Thank you, Carrie, and good morning, everyone. It's a pleasure to be sitting here today and presenting Auckland Airport's interim results for the 6-month period to December 2025. Turning to Page 23, where we summarized our financial performance for the half. As Carrie mentioned, the first 6 months of 2026 financial year has indeed been a very busy one for the company with the continued recovery in aviation activity flowing into improved financial metrics and delivering what I would describe as a good start to the financial year. Higher tax movements, particularly international, combined with improved performance across the commercial lines of business drove a 6% lift in revenue for the 6 months, excluding interest income. With careful cost management in the period, the increase in revenue flowed through to a lift in EBITDAFI, up 6% to just over $370 million in the period. And with that, pleasingly, a lift in EBITDAFI margin on the prior period from just under 70% to 71.5%. Net profit for the year was down 5% to $177 million, largely as a result of a reduction in the investment property revaluations that we saw in the prior period, with underlying profit, that is profit excluding noncash movements associated with revaluations and derivatives in the period, rising 6% to $157 million, with the lower cost of debt and improved performance from our investment in Queenstown Airport and the hotel JVs, partially offsetting below-the-line impact of asset commissioning. Turning now to Page 24, where we've set out a breakdown in revenue across the different lines of business. In the half, it was pleasing to see aircraft movements at Auckland Airport return to a positive trajectory with an increase in both domestic and international movements on the prior period. During the 6 months, this increase was driven by higher value, larger aircraft with the [indiscernible] increasing ahead of both PAX and aircraft movements in the period. This increase in higher-value aircraft movements, combined with the lift in PAX movements and higher aeronautical charges associated with the significant investment in aeronautical infrastructure has resulted in total aeronautical revenue up 7% in the period to a combined almost $240 million. The increase in passenger activity was a key driver to the improved performance across most of our commercial lines of business with improved performance in car parking and the airport hotels, whilst also supporting our retail business in what has been a more challenging market for travel retail. Starting first with retail. Income declined 2% in the period to $92.3 million as the combined effects of lower concession rates to support customer value, promotional activity and a change in customer buying patterns to a larger proportion of lower-margin categories such as technology, resulted in higher sales and average transaction values, but resulted in a lower income per passenger in the period. On a category basis, duty-free traded well with sales up on the prior period. And as indicated at the full year results, the new contract has evolved with industry trends to support more flexibility to drive greater basket size and with it, customer value. In addition, food and beverage, destination, news and books categories also traded well in the half, reflecting the attractiveness of the retail proposition. However, also reflecting the difficult New Zealand retail environment, luxury and foreign exchange continued to underperform in the period with the latter remaining challenged as the industry continued its migration to new technologies. In car parking, income rose 14% on the prior period as the combined effects of a full period contribution from the transport hub, migration towards products closer to the terminal and pleasingly, an increase in over 20% in the duration of stays across all of the parking categories all contributed to a lift in revenue. You will recall previously, Carrie and I have spoken to the airport seeing a migration of parking to more remote, cost-effective options as the effects of the economic cycle were seen in our transport business. We are now seeing a reversal of this trend with migration from these more remote parks to those more proximate products. The reversal of this trend and the lift in demand has enabled Auckland Airport to also reduce promotional activity that occurred in the months following the opening of the transport hub. Property and other rental income rose by $8 million or 9% in the period, driven by new assets commissioned of close to $5 million and just over $2.5 million from the growth in the existing portfolio. And finally, Auckland Airport booked $3 million in the period of income associated with the insurance proceeds from the January '23 flooding event and lower interest income as the business cash reserves have been gradually utilized to fund infrastructure investment. In summary, the investment in commercial products in recent years has delivered an overall 5% lift in our commercial revenue in the half complementing the 7% growth in aeronautical, highlighting the continued strength and balance of our diversified revenue base. Turning to Page 25. Despite the increase in both aviation activity and also commercial and construction activity in the period, we are very pleased to report operating costs were down on the prior period as the continued focus by management on managing costs has resulted in operating expenses declining 1% in the 6 months to just over $148 million. In particular, our match-fit program of focusing on cost management whilst carefully investing in activities that improve the operation of the airport, reduce risk or improve the customer journey is working with over $20 million in costs saved and in some cases, redeployed to higher priority areas. Key to this has been improvements in procurement, a full 6-month benefits of organizational changes made in the prior period and focus on optimizing asset management throughout the life cycle that has enabled the business to reduce costs while still supporting ongoing investment in the customer experience and importantly, investment in new digital capability. As outlined on the page, marketing and promotional costs declined in the half, reflecting no repeat of the activities to support the launch of the new commercial activities in the prior period. And rates and insurance expenses have increased by $2.5 million or 12% in the period, reflecting a growth in the value of the asset base, a portion of which can be recovered from tenants and is reflected in our rates recoveries or other income. Turning to nonoperating costs outlined on the page. Depreciation costs rose substantially in the half, up over $19 million or 20%, reflecting the combined effects of the full period effect of assets commissioned in the second half of the prior financial year, which drove close to $14 million of this increase and commissioning, as Carrie mentioned, over $743 million of assets in the current half. In addition, for the first half of the financial year, we also included $2 million of accelerated depreciation for assets whose useful lives were shortened due to the decommissioning required as a result of the aeronautical investment program. Finally, gross interest expense declined in the period to $68.4 million, a decline of $6.2 million or 8% on the prior period, reflecting the full period benefit of cash from the equity raise undertaken in late 2024 and lower interest rates in the half, albeit the effect of the latter, moderated by our relatively high fixed debt component. Reflecting the significant number of assets commissioned in the half, capitalized interest dropped $3.7 million or 12% to $27 million as compared to just over $30 million in the prior period. As a result, the net interest expense that you see on the page for the 6 months dropped to $41.4 million or 6% on the prior period. Now turning to Page 26, where we outline a bridge in EBITDAF between the prior half and the first half of FY '26. Over the last couple of years, our EBITDAF has been impacted by one-off events that are not reflective of trading in the underlying business. In particular, the financial impact of the January '23 flood event and additional interest income earned from the 2024 equity raise have colored our EBITDAF. When you strip these out, you can see from the slide the improvement in trading within the core business and with it, a lift in normalized income of 6%, supported by the reduction in costs I talked about, resulting in an 8% lift in EBITDAF. Now turning to Page 27, where you can see our aeronautical investment program is gaining real momentum. CapEx in the period spanning both aeronautical and commercial investment totaled $430 million, with spend on terminal integration of over $219 million in the half, up 21% on 1H '25 or over 8% on the last 6 months of FY '25. For those of you who have been out to the airport recently, you'll see the scale of activity continues to increase with more workers and trades on site across the head house and connecting peer with work on the airfield recently underway. CapEx on the airfield works, as you'll see on the slide, has dropped in the period following the commissioning of the Northern Airfield in the stands and the team now is pivoting to more renewal work and upgrade of activities out on the airfield. With 229 projects on the go, 200 of which are in the construction phase of CapEx activity, we're expecting to see a step-up in activity in the second half due to several milestone payments relating to plant for the new systems as well as a full month -- sorry, full 6 months of activity on the airfield around the new domestic jet terminal after the project team took possession of the site in November. Reflecting the step-up in activity, we were pleased to see CapEx in January come in at $86 million despite it being a short month. Finally, closing WIP at December totaled $1.1 billion, down on the $1.4 billion you'll recall at 30 June 2025 as the 6-month period saw the significant commissioning of not only aeronautical but other assets across the period that Carrie touched on earlier. Now finally, before I hand back to Carrie, on Page 28, we outline our credit metrics. Despite the ongoing significant level of capital expenditure in the period, Auckland Airport continues to maintain a strong liquidity position and robust credit metrics. Total drawn debt at 31 December amounts to circa $2.6 billion with undrawn bank facilities of just over $1 billion. And this is in conjunction with or in addition to cash reserves, I should say, of $361 million. At 31 December, Auckland Airport's key credit metrics remain strong with its FFO to interest cover and FFO to net debt on a spot basis remaining well above their respective tests. With almost 87% of our borrowings fixed and a measured debt maturity profile, it gives us confidence and good visibility of the funding costs over the medium term. As Carrie mentioned, Auckland Airport has declared an interim dividend of $0.065 per share in the period, up from the $0.0625 in 1H '25, and we'll retain a dividend reinvestment plan for the interim dividend, offering those shareholders who elect to participate at a 2.5% discount. In the period, we were pleased to see ongoing strong shareholder support for the DRP with a participation rate in excess of 40% for the second straight period. In conclusion, the 1H '26 result represents a solid start to the year with the continued recovery in travel, improved performance across our commercial lines of business and continued success from the focus on cost control translating into strong underlying financial result. With that, I'll now hand back to Carrie, who will take you through the outlook for the remainder of the financial year.
Carrie Hurihanganui: Excellent -- thank you, Stewart. And as we do look ahead to the remainder of the financial year, we can see demand is strong, and we can also see that challenges remain with the global issues impacting the supply of jets. However, we are optimistic based on the recent trading momentum, the continued growth in our aeronautical and commercial activity. The pipeline of additional new air connectivity that we have and the continued substantial progress of our aeronautical construction program. And as I mentioned earlier, we do acknowledge that there is complexity and challenges that come with the program at scale, but we have planned and anticipated those in our look ahead. So reflecting this and our growing confidence in the passenger forecast for F '26, Auckland Airport is narrowing its guidance to underlying profit after tax to between $295 million and $320 million with domestic and international passenger numbers of circa 8.6 million and circa 10.6 million, respectively. Capital expenditure guidance, we are narrowing that to between $1 billion and $1.2 billion in the year. And as always, the guidance is subject to any material adverse events and other criteria as highlighted on the slide. So at this stage, let's move to questions.
Operator: [Operator Instructions]. First question comes from Andy Bowley from Forsyth Barr.
Andy Bowley: A couple of questions from me. The first is on retail. So it was good to see the PSR going up, albeit average concession yields coming off modestly during the period. And the question is really around those concession yields. You both talked about sales mix being an issue that we've got to think about. But I'm kind of curious around the like-for-like concession yields that you've achieved in the new duty-free contract versus what you'd have had previously? And any discernible trends that you're seeing elsewhere in retail categories? I guess being blunt, are we seeing structural pressures on retail concession yields.
Carrie Hurihanganui: Andy, I'll kick off, and then I'm sure Stewart will love to jump into that. I mean in terms of the like-for-like, the terms of the contracts are clearly commercially confidential. So we won't talk specifically on those. But I think there's an element we had over the last couple of years, even when that RFP was out. I know we talked several times about the fact that we were seeing trending changes. We were seeing elements around trends in both regional and global travel retail evolving. You were seeing it moving away from liquor in some instances towards fragrance, beauty and technology, et cetera. And that very much -- that trend continues. And so that's certainly in the sales mix and what you see there. But Stewart, do you want to talk more on the yield question in particular that Andy has asked?
Stewart Reynolds: Yes. So Andy, in terms of your question, so in short, yes, we are seeing pressure on yields and -- but this is not unique to us. You see that across the region and more broadly and some of the well-publicized departure of retailers from New Zealand is a good example of that. So I think that's how I would just answer your question.
Andy Bowley: And I guess following on from that, your desire strategically is to try and push that PSR further than what we've achieved in recent times, I mean, kind of the last 10 years or so where PSR has been relatively lackluster, but PSR to try and combat the concession yield issue?
Stewart Reynolds: Yes, Andy, the way I would summarize it, and look, I'm not a retailer, but I'd say we like to push activity. We don't want the airside retail to be a shop window that people walk past. So we're keen that consumers step into the store and engage. And so to do that, we are taking a more active posture that we've talked about in terms of retailing, and that involves everything from promotional activity to bundling goods, et cetera. So trying to ensure that retail remains relevant to the consumer as they move through the airport.
Andy Bowley: Great. And then second question on OpEx. The reduction in OpEx was pleasing. Now could you talk about the direction of travel here, please? And by that, firstly, the level of OpEx you anticipate through the second half? And then secondly, also the shape over the next few years as you commission additional assets leading up to the ITB in 2029?
Stewart Reynolds: Yes. Look, I'll touch on that, Andy, and then I'll hand to Carrie to what talks about in terms of the challenges of trying to do that going forward because there's a number of sort of bigger considerations. So in short, we've managed to effectively optimize a lot of the spend in the business by ensuring we focused on what really mattered. And that meant that where we had greater discretion on the spend, and I highlighted some of the spend on promotional activity and consultants, et cetera, we took a very careful lens on that to ensure it made the boat go faster and redeployed that spend where it was required to higher priority areas. So that, in conjunction with some of the work we're doing on procurement, around asset life cycle management has resulted in a lot of those savings that we've talked about. So as we look into the second half of the year, then what we expect is that not only would we bank those savings, but we'll probably see a little bit of a lift in OpEx into the second half. But I would anticipate that would be in the low single digits, and that's just naturally reflecting the greater activity that's going on in the airport. And what I mean by that is the management of the disruption that Carrie alluded to around things like the check-in, et cetera, and we're trying to ensure that we manage the customer journey through that process. So it will be a little bit lumpy over the next 12 to 18 months. But notwithstanding that, as you then move forward into a longer period, we're trying to then normalize down and drive down that cost to serve, so to speak.
Andy Bowley: You mean on a unit basis or in absolute terms?
Stewart Reynolds: On a unit basis, first and foremost.
Andy Bowley: Yes. Okay. And just to clarify, single-digit increase through the second half, you mean on top of the first half in dollars or percent or what's?
Stewart Reynolds: Yes, in terms of dollars.
Andy Bowley: On top of the first half. So a higher level of OpEx through the second half.
Operator: Our next question comes from Wade Gardiner from Craigs Investment Partners.
Wade Gardiner: A few questions from me. Can you -- given you've just given some guidance around the OpEx number, can you also sort of give a bit of guidance around what we should see around depreciation and interest given the assets being commissioned and the capitalized interest running off?
Stewart Reynolds: Yes, I'll take that, Wade. So yes, it's -- I think at the full year results, I guided to the full year would be sort of around $300 million, and that would be essentially net of interest income for both depreciation and interest. And so when we're looking at the result for the first half, I'm still broadly comfortable with that number, but it might be somewhere between 2% and 5% sort of slightly higher. And that's really reflecting the slight change in the depreciation number that's flowed through the first half.
Wade Gardiner: Okay. Just to clarify sort of following on from what Andy was saying on the duty-free concession, is there anything structural in that contract in regards to the period we're in now where there's fit-out construction. In other words, once they have done the fit-out, will we see any sort of structural step-up in that arrangement?
Stewart Reynolds: Yes, Wade, I can't comment on the contract specifically. But I think if you go back previously, I think where your question is coming from is when we completed the expansion of the Phase 3 as we called it or the airside dwell and security processing area, there was a step-up as new space was deployed. And so we've tended to move away from those type of mechanisms.
Wade Gardiner: Okay. While we're on retail, I mean, interesting to hear you talk about driving the PSR higher. How can you, as a management team actually do that versus just reliance on the retailers doing their thing?
Stewart Reynolds: Yes. So you're right. It comes from, in short, a greater partnership with the retailer. And that was one of the reasons why we selected Lagardere. And it's -- so in working together and alignment around effectively ensuring that the retail environment is one where customers want to stop dwell and with that potentially spend ensures a greater outcome for all concerned. And so we work with them around promotional activity. We work with them around bundling as an example. And so you recall in the previous results, we talked about some promotional activity that we had in the liquor category as an example. And we also work with them around what [ Howard ] described as complementing some of the experiential elements that go on within the terminal and ensuring that travelers are aware of these sort of things before they turn up. So a big part of that is ensuring people get to airside relaxed and on time and are not rushing through that space.
Carrie Hurihanganui: And if I could add to that, Wade, I think Stewart has covered it well. But one of the things that we also talked about back, you might recall when we were going from the 2 operators to the 1 and the way that we plan that, part of this refurbishment also moves away from, in effect, what -- even though we have one operator, it's still a duplicated or dual store layout. And so part of that also is we work together with them, and that was part of the agreement of how we move to a single integrated store, how we enhance layout, the brand visibility of the customer, all the things that Stewart was just referring to, but that's one of these key elements that goes alongside that as well.
Wade Gardiner: Okay. And just finally for me, just -- I mean, $34 million on property in the first half. Can you give us an idea of what you're expecting in the second half? I mean I know you did say it will be down. And also what the sort of the medium-term outlook looks like for property CapEx?
Stewart Reynolds: Wade, apologies, I can't quote that number for the second half, like Carrie and I have talked to what the long run rates of between $100 million and $150 million on commercial development, but that's very much on average over the longer term. And so you'll see from that number that we're expecting things to be a little bit more reflective of the subdued local market. We've obviously got some exciting developments underway at the moment, but I couldn't give you a CapEx number, I'm sorry.
Operator: Next, we have Grant Lowe from Jarden.
Grant Lowe: Can you hear me okay?
Carrie Hurihanganui: We can.
Grant Lowe: Perfect. Congratulations on a good result. It seems we all have very similar questions around retail and OpEx and the like. Just focusing on changing to the car parking side of things, quite a strong uplift and cycling some discounting and the like in the previous period. Do you see this as a new base for the car parking going forward and sort of inflationary and passenger growth from here?
Carrie Hurihanganui: Yes, there isn't anything, Grant, that will make us think otherwise, particularly when it -- because we've had the full 6 months, obviously, versus the prior comparable period for the transport hub. We've got the change in mix in premium products pipeline. So some of those foundational elements are going to carry forward. I think probably the piece that interests us and we want to continue to build is probably the increased duration of stay. That's one that's getting under the skin of that and kind of understanding how do we continue to encourage that because that's been a key element for us. But the foundational elements have us seeing that as a carry forward.
Grant Lowe: Yes. Okay. And then just looking at the route development and Thai Airways coming back at the end of the year, et cetera. I think they were sort of the key -- sort of the last of the missing pieces from pre-COVID times. Can you give us sort of any indication as to what sort of level of increase in capacity that return now gives on the international side?
Carrie Hurihanganui: Well, the -- until a little bit in terms of its -- they have announced coming back daily. So -- but we -- they haven't landed on a specific date yet. So we're not in a position is until we know the start date for F '20 second half this year, but it will be around about 200,000 seats, which gives you an idea of the quantum. And then ultimately, they will confirm in the next while when exactly they will be starting in the second half of this year, and that will give them a better play-through of the impact to the forward impact for F '27 and beyond.
Grant Lowe: That's great. And how does that compare to pre-COVID for [indiscernible] at least?
Carrie Hurihanganui: At the time they were doing daily. So we were delighted that they didn't -- some airlines return, say, 3 or 4 and then build back into it. They've committed to coming back exactly in line with what they had exited during COVID. So we're really pleased with that.
Grant Lowe: Okay. That's great. And then just going back to the retail side of things. So like I haven't been out to the international side of things for the last few months. But in terms of when exactly did that start? That was fairly late in the period, wasn't it?
Stewart Reynolds: Yes. It started in -- some of the work was effectively in the fourth quarter of the calendar year, but there was work happening behind the scenes. So in the -- I think the store areas that the customers obviously don't walk through. So we've been progressively doing it behind the scenes as well.
Grant Lowe: Yes. I guess where I'm going with that question is like there would have been fairly minimal disruption impact. And the second part of that question really is, are we expecting to see any sort of disruption impacts in the current half?
Carrie Hurihanganui: Listen, on that, we would...
Grant Lowe: In terms of spend and the like.
Carrie Hurihanganui: We're doing everything to minimize that, which is part of the reason it's probably a little bit of a slower burn and throughout 2026 because we do want to minimize that impact, Grant. But will there be some? I think it would be very hard for us to say there would be 0, but we're certainly going to minimize that as much as we possibly can.
Grant Lowe: Okay. So it hasn't had a big impact at this stage.
Stewart Reynolds: Hard to measure, Grant, but I think your initial assumption, the initial works were behind the shelves, so to speak, and we've now stepped into that. But we're not seeing a measurable difference at this point. But like Carrie mentioned, it is a close focus of the team.
Operator: Next, we have Rob Koh from Morgan Stanley.
Robert Koh: Happy Lunar New Year. Just a question on Chinese passengers. I think you've called out that with the visa improvement, you started to see some better seat capacity. Should we be thinking that, that also flows through to the PSR results that you've seen? And then also, if you could maybe just give us any color on the timing of Chinese New Year impact this year so far?
Carrie Hurihanganui: Yes, absolutely. As far as I take the first question in terms of do we expect that will flow through. Ultimately, we'd like to think it will. And I look at things that the change to the Australian visa holders that make them eligible travelers people who come to New Zealand. We've seen a 44% increase between Australia and Auckland in the month of November and December, sorry, and that was nearly 23,000 Chinese travelers using that route. So the indicators are all positive, but early days, right? We had kind of 1.5 months, but we'd like to think that, that will play through in that space. In terms of the capacity that's come through as part of Lunar New Year, we've had a significant uptick across multiple carriers adding in capacity through to, I think it's around, I want to say, the 2nd of March as far as their schedules. And again, because that's live now, we don't have any indication of how that's performing thus far. But we certainly, at the end of February, we'll be looking at our operating statistics as to what we kind of saw come through on that, but there was a significant uplift in that capacity over that period.
Stewart Reynolds: And then, Rob, to your question on PSR, I think all things considered equal, yes, it should, but it's still too early to understand what we're seeing in that space.
Robert Koh: Yes. Okay. All right. My next question, I just want to make sure I've got my kind of understanding of how to calibrate your revised guidance because you haven't changed your pax numbers that underlying that guidance, but it does seem you're a little bit more positive on seat capacity. So are you still thinking of those pax numbers as your central scenario?
Stewart Reynolds: Yes, Rob, we are. When we put that guidance out, gosh, many moons ago now, there was essentially a bit of anticipation of capacity being deployed into that. And so that capacity, we have more confidence of it being deployed now, some of it, obviously, you see both domestically, but also internationally. So it's giving us greater confidence that, that target will be achieved.
Operator: Next question comes from Marcus Curley from UBS.
Marcus Curley: I just wondered if we could start with the CapEx, Carrie. It looks like -- well, it has been, let's call it, rounded down in terms of the year-end CapEx. My question is, should we -- or is there any associated further delays to endpoints on the major projects that we should read into that? Or is all of the major projects still on time to what you talked about 6 months ago?
Carrie Hurihanganui: Yes. Thanks, Marcus, there's a few things, I think, in your question of trying to get an understand of that play forward, and I'm hearing beyond the next 6 months potentially as part of your question. I think if we do take this next half, the second half, a couple of things. Obviously, some of the revised guidance is that the higher levels of spend contemplated for commercial property that informed the top of that original guidance have not materialized. So that's one element that we certainly plays into the second half. And then as far as activity that we are expecting to pick up in the aeronautical space in the second half, we've got everything from kind of milestone payments relating to plant for the new baggage handling system. They fall in the second half as does a full 6 months of activity on the airfield around the new domestic jet terminal because they only took possession of that site in November. So only had kind of a month with Christmas close down. So we'll see the full 6 months play through that. And then we've got a number of other key projects moving from design to enabling to significant construction activity such as check-in expansion, payment renewals, et cetera. So those are things that give us the confidence for the next 6 months or so. Then I guess if your question is longer beyond that and some of the bigger projects that I'm hearing, consistent with our previous messaging, we do expect there have been some changes in that original forecast we had around PSE4 at the time of setting prices and PSE4, for example, assume that the Western stands on the new peer would be operational in the second half of FY '27, along with new regional stands. Now both of those are making great progress, but they are tracking slightly behind that period to land in that kind of first half of 2027. So -- but in terms of fundamentals of the programs, hitting the milestones and moving ahead, we have absolute confidence in those.
Marcus Curley: And completion of the domestic terminal?
Carrie Hurihanganui: Yes, that's on track for 2029.
Marcus Curley: Yes. And then just secondly, you've obviously flagged again the downward trend in revenue from FX. I just wondered if you could provide any perspective in terms of the level of revenue exposure in that category? Or how should we be thinking about that over the next, call it, 3 to 5 years?
Stewart Reynolds: Marcus, so I'd describe it as -- yes, I think it's just reaching that natural level now where there will always be some people who look to get foreign currency and take it to destinations around the Pacific or even into Asia. But over time, that number will reach a very de minimis number. So we described, I think, at the full year results is sort of that mid- to low single digits was the sort of revenue exposure there, and I can just see that continuing to trend in that direction.
Operator: Our next question comes from Owen Birrell from RBC. Owen from RBC.
Owen Birrell: Just wanted a question around, I guess, tourism outreach to international markets. Can you give us a sense on, I guess, what sort of activity is occurring at the moment broadly, I guess, at the government level to encourage tourism activity in New Zealand?
Carrie Hurihanganui: Yes. I mean there's a number of facets moving across it, I guess, in terms of you've got what I would call the expected space, which is TNZ, and they've obviously been provided additional funding last year and into the year to promote that. There's -- that then carries forward. TNZ works in relevant markets like Australia and like North America and otherwise to build that out. Alongside that, we engage and often work if we think about kind of last year, we did work with RotoruaNZ and Tataki Auckland Unlimited to appeal to the Australian market, for example, what the North Island has to offer. We've also sponsored kind of 15 regional tourism organizations and came together with ourselves and Tataki Auckland Unlimited to create Kiwi North and again, how do we promote North Island to external markets and encourage them to. So there's a number of facets underway. And then you've got things like I mentioned earlier, that $70 million investment by government in terms of large events and bringing events to New Zealand, and you're seeing things like the state of origin and some of those other things starting to come through as well as the changes to Eden Park settings being proposed. And then obviously, with the convention center opening, they've got a really nice forward book in terms of large events coming. So it's a combination of pure leisure travel events and those things together that continues to gain momentum.
Owen Birrell: I mean historically, we've seen some big pushes into Europe, India, a little bit of China. Is any of that sort of activity coming back at this point?
Carrie Hurihanganui: Yes. Well, certainly, again, if you look at an organization like TNZ or [ Tosm ] New Zealand, sorry, they have offices and investment in all of the markets, so China, Europe, North America, all of those. So those are all part of that broader pace. And some of it also, I know in my discussions with TNZ things like Southeast Asia, we knew was, in particular, a bit of a missing piece of the puzzle. I said, hence, why we're so delighted with Thai Airways returning, but there's been a bit more of a targeted focus in Southeast Asia because we knew that was an area for New Zealand that needed to recover both the connections because you can stimulate travel, but you also need the connections to enable that to have kind of a multiplier effect, so to speak. So as we start to get recovery across some of those markets that have been missing like Southeast Asia, my anticipation would be that they'll look at those broader markets as well again.
Operator: Our last question comes from Amit Kanwatia from Jefferies.
Amit Kanwatia: Just a couple of questions. I mean you've given kind of guidance for operating expense, finance cost and D&A. I'm just wondering, I mean, if I look at the tax expense into first half '26, I think that tax rate was a bit lower as compared to the PCP fiscal '25. Maybe if you can give us a steer in terms of the tax rate that you expect for full year '26?
Stewart Reynolds: Amit, what you should expect over time is we get trend back towards more the company tax rate. So I expect it will be closer to the 28% for the full year. There is obviously a number of moving parts within that, including the government's recent policy changes around the nondeductibility of depreciation on building structures. So there is a little bit of noise in that. But I think over the medium term, you should expect us to trend back to that overall rate.
Amit Kanwatia: Okay. And then, I mean, if I think about the guidance range and you've increased the midpoint of the range, you've narrowed the range, $295 to $320. I mean you've kept the passenger expectations unchanged. Maybe if you can speak to kind of the swing factors to the -- from the midpoint towards the top of the guidance range?
Stewart Reynolds: Yes. Certainly, Amit. So I think what I said at the full year was if we achieve those passenger forecasts and subject to any other unknowns that we could see ourselves getting into the top half of that guidance range. But the range really catered for the potential one-off costs that could come through in such a significant infrastructure investment program and managing the disruption with that and also some of the variability associated with as you commission assets and you disaggregate effectively what I would describe as the as built into specific assets, the variability in depreciation that comes. And the lack of, I think, one-offs that we saw in the first half has given us comfort around lifting the bottom of the range. And so I would come back to what I said at the sort of full year results that if we can achieve that passenger forecast as well as reduce the likelihood of any unknowns that appear, then we could be in the top half of that guidance range.
Amit Kanwatia: Sure. That's very useful. And just back on -- I mean, if I still think back around the passenger guidance, I mean, international passenger growth, 3% for the full year. I mean the implied growth rate into second half is not too dissimilar to what we saw in the first half, slightly more. But if I think about the capacity outlook, I think that's improved over the last few months. Maybe can you talk to some of the thinking behind the expectation around the second half for passenger growth, particularly for international?
Stewart Reynolds: Yes. So Amit, why don't I start with domestic and then move into international. And then I'll hand to Carrie to give her thoughts as well. So -- within the domestic system, we're obviously very cautious around the regional system. And as you've seen in our presentation and some of the commentary in the monthly traffic updates, we've been a little surprised to the downside in terms of the domestic capacity and travel numbers through there. But notwithstanding that, the addition of additional capacity on the jet side or trunk activity has been pleasing to see. And so we're confident overall of that domestic number, but it is essentially a 2-sided coin in many respects is where it's a watch on regional and positive on jet. On international, what you're seeing there is complementing some of that additional capacity that Carrie talked about in new services, you're getting additional frequency on existing routes as well. And so that's particularly the services that have been announced to date is what giving us confidence around that growth rate continuing into the second half as we get a full period effect of some of those services that turned up in the fourth quarter of the calendar year last year.
Carrie Hurihanganui: And if I could add to that, it's this balance also of kind of the first half is what was actually phone, there's slots filed. So as we look forward, it's what we anticipate airlines to fly, but sometimes everything that's -- all the slots that are filed don't necessarily get operated. So there's a little bit of that. And then we're really positive. The optimism I talked about earlier was around things like I called out the Samoa and Gold Coast through Qantas Group. Those actually commenced in -- I think it's June. So actually, the pickup in this financial year is going to be minimal, but actually then carries forward. So we have a kind of a -- to Stewart's point, there's a mixture of things that are influenced, we have -- we're positive and optimistic about that, but there are those elements that we are just aware of in terms of those pulling through.
Operator: Thank you. That concludes our Q&A. I will now pass back to Carrie.
Carrie Hurihanganui: Well, thank you, everyone, for your time today. And as I said just before, we are optimistic is the word that I will use on the remainder of the year and beyond. We continue to be laser-focused on the successful delivery of the key enablers for growth across the business. And of course, that also includes our infrastructure investment program. It would be remiss of me not to take the opportunity to pass on my thanks to all the Auckland Airporters and our partners in terms of the positive performance in the first half has been a team effort, as they say. And so I want to pass an acknowledgment of the work that's gone into that. But we certainly look forward, Stewart and I to connecting with many of you over the coming weeks of investor meetings, both here in New Zealand and also Australia. So with that, have a fabulous afternoon. Thank you.